Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to the Enghouse's Q2 2025 Conference Call. [Operator Instructions] This call is being recorded today, Friday, June 6, 2025. I would now like to turn the conference over to Mr. Stephen Sadler, Chairman and CEO. Mr. Sadler, please go ahead.
Stephen Sadler: Good morning, everybody. I'm here today with Rob Medved, Chief Financial Officer; and Todd May, VP, Legal Counsel. Before we begin, I will have Todd read our forward disclaimer.
Todd May: Certain statements made may be forward-looking. By their nature, such forward-looking statements are subject to various risks and uncertainties, including those in Enghouse's continuous disclosure filings such as its AIF, which could cause the company's actual results and experience to differ materially from anticipated results or other expectations. Undue reliance should not be placed on forward-looking information, and the company has no obligation to update or revise any forward-looking information, whether as a result of new information, future events or otherwise.
Stephen Sadler: Thanks, Todd.  Rob will now give an overview of the financial and business results.
Rob Medved: Thank you, Steve.  Good morning, everyone, and thanks for joining us. As we present our second quarter results, it's important to acknowledge the broader environment in which we're operating. The global economy remains volatile, shaped by geopolitical instability, shifting trade policies and persistent inflationary pressures. These factors are contributing to a more cautious investment climate, where customers are taking longer to make purchasing decisions. Foreign exchange volatility has also intensified with significant movements in the U.S. dollar, euro and pound impacting both revenue and expenses. Despite these headwinds, we remain focused on what we can control, disciplined execution, operational efficiency and long-term value creation. Revenue for the quarter was $124.8 million, a modest decline of 0.8% year-over-year. On a year-to-date basis, revenue increased 1% to $248.8 million for the 6-month period. Recurring revenue, which includes SaaS and maintenance services, increased to $86.2 million, representing 69.1% of total revenue. This is up from 67.5% in the same quarter last year and underscores our strategic focus on increasing predictable long-term revenue streams. Adjusted EBITDA was $28.6 million with a margin of 22.9% compared to $35.7 million and a 28.4% margin in Q2 2024. Year-to-date, adjusted EBITDA was $61.7 million compared to $70.4 million in the prior year. Net income for the quarter was $13.5 million or $0.24 per diluted share compared to $20 million or $0.36 per diluted share last year. The decline reflects increased operating costs as a result of incremental services costs attributable to the shift towards SaaS revenue, overlap of costs related to recent acquisitions as they are completed and integrated as well as special charges of $1.4 million. We generated $25.5 million in net cash provided by operating activities, excluding changes in working capital and income taxes paid this quarter. We ended the quarter with $263.5 million in cash, cash equivalents and short-term investments, and we continue to operate with no external debt. During the quarter, we returned $14.3 million to shareholders through dividends and invested $26.8 million in acquisitions. Our strong balance sheet provides the flexibility to continue investing in innovation and growth even in uncertain times. Acquisitions remain a core pillar of our growth strategy. In Q2, we purchased and concluded the integration of Margento, a scalable Mobility-as-a-Service platform. We also acquired Trafi, a Lithuania-based Mobility-as-a-Service provider. These additions enhance our transportation portfolio within the Asset Management Group and align with our broader mobility strategy. We continue to evaluate opportunities to align with our strategic direction and long-term vision. While we've seen some demand-side hesitancy and delays in capital investment decisions, our global diversification and recurring revenue base provide a degree of inflation. We are actively optimizing costs and aligning resources to support margin expansion and long-term growth. Looking ahead, we remain focused on execution. We believe that periods of uncertainty often create opportunities for well-capitalized, disciplined companies like Enghouse to strengthen their market position. Yesterday, our Board of Directors approved a quarterly dividend of $0.30 per common share payable on August 29, 2025 to shareholders of record as of August 15, 2025. In closing, while the macroeconomic environment remains complex, our strategy is clear. We are committed to delivering long-term value through operational discipline, strategic acquisitions and a focus on recurring revenue. Thank you for your continued support. I'll now turn the call over to Mr.  Sadler.
Stephen Sadler: Thanks, Rob.  We continue to refine our new business unit structure, working as a team approach to challenge the marketplace. This, as you remember from last quarter, we just started early January. In the AMG segment, 4G to 5G continues, but at a pace that is slower than expected. AI continues to be promoted in discussions, but there's great difficulty in monetizing its benefits. Customers seem to be taking a wait-and-see approach. With respect to acquisitions, partway through the quarter, as Rob mentioned, we acquired Margento, and at the end of the quarter, acquired Trafi. They are being integrated into our AMG segment in transportation. For the quarter, they added about $1.5 million of revenue and operated basically on a breakeven basis. We expect both acquisitions to add further to revenue and operating income next quarter. We continue to see substantial capital allocation opportunities in our industry sectors, but there's a lot of uncertainty delaying completion of opportunities. As Rob mentioned, Enghouse is financially strong, generating positive cash flow and having a substantial cash balance to implement changes needed in the business and continue our capital deployment without the need for external financing. I would now like to open the call for questions.
Operator: [Operator Instructions] And with that, our first question comes from the line of Stephanie Price with CIBC.
Stephanie Price: Steve, I was hoping you could talk a little bit about the parts of the business that are seeing the biggest impact from the demand environment that you kind of laid out there. Are you seeing it across the board? Or are there certain divisions that are seeing more of a headwind here?
Stephen Sadler: We always serve some tough markets. And again, as I said, the 4G to 5G, and you can see it from some of the telecom companies, they rarely lay off staff. And yet you've heard some layoffs recently by some of the largest ones even in Canada. So again, that's slowing it down. It doesn't change what we do because although it might be slow going to 4G to 5G, they're going to be a 6G and they're all going to have to go to 5G and then to 6G. So the future is still good, but it's a little slow today. In the IMG Group, which is networks, contact center, it seems to be a little bit on hold. If you notice, our competition generally doesn't make money. They generally have debt. So they're struggling a little bit, although they got some sales growth over the last couple of years, taking on what we would say is opportunities at a loss.  We don't do that. But again, going forward, AI seems to slow things down. Everyone talks about it, but monetizing it especially in enterprises seems quite difficult. We're seeing the difficulty and so do our competition, although we all do some of it in some form. So again, I think it's -- there's generally struggles in those areas. In transportation, we're continuing to finish those major contracts. There's 2 that we announced 3 years ago, and we're still trying to finish them in Norway. And they should improve profitability as we go forward without -- there's no risk of trying for new revenue there. Revenue, again, just from those 2 contracts will help going forward, but profitability will help even more. They actually turned profitable in the quarter after losing substantially last year, but not at our levels that we expect or that we should see from those as they put more units on and they actually start using the system a little bit more. It will take a little bit of time, but we're right at the end of this now. I mean, in the next 6 months -- 3 months, 6 months as they keep accepting more and more units going on, but also without risk, should improve profitability and maintain our revenue in that area. So again, I think all the areas we're in are a little bit tough. So from the operations side, that's challenging especially as we reorganized the business units. But it also should be a great opportunity to do capital allocation. It's a little slower now even there because they don't know what tariffs, et cetera, might do. So think of the customers who might use a contact center, as an example. That's generally where it would be impacted. But pretty positive on going forward, and there's lots of opportunities at better pricing right now from an acquisition point of view.
Stephanie Price: Okay.  You mentioned profitability there. Maybe you can talk a little bit about the puts and takes in the quarter outside of the transportation division. Should we think about it as the mix shift to SaaS? Like how do you think about margins moving back up to kind of the historical range and the time line there?
Stephen Sadler: Probably a mix.  A little bit is revenue basically declined, okay? And because we restructured in early January, we're still going through a little bit of teething with that restructuring. So we probably didn't move as quickly as we usually do on taking out costs, but that will be solved in the next quarter.
Operator: And your next question comes from the line of Paul Treiber with RBC.
Paul Treiber: Just a question on Lifesize. I think last quarter, you called out there was some, I guess, anticipated churn that occurred. The -- has the revenue stabilized on a sequential basis? Or are you -- is there still some incremental sequential churn at Lifesize?
Stephen Sadler: Churn on Lifesize, but in general, there's still a little churn on video. And that's partly came with the Lifesize acquisition and partly we bought separately as well a couple of businesses in that area. So there's still some churn in those 2 areas. Yes, still some churn. But not -- if I was going back to my math, I would say the second derivative looks okay. I like the churn is getting less, and it's looking a little better going forward. But there's still a little bit of churn in that area, yes.
Paul Treiber: Okay.  That's helpful.  And then turning to the SaaS business or the shift to SaaS. You did mention that it's a more challenging environment for new wins. But how does your pipeline look for SaaS? Are you encouraged in terms of what you're hearing from customers in terms of their evaluation of SaaS products of the company?
Stephen Sadler: From our point of view, it's a little tougher right now because, as I said, you really have -- to use AI properly, it's generally done on the SaaS type model. And so again, a lot of holding back because there's lots of discussion, there's lots of enthusiasm on AI, but not much happening actually other than for the platform guys and for NVIDIA, of course. But for enterprises, it really hasn't taken hold. People are still trying it out. There's a lot of caution around it. But people are hopeful that it will improve productivity in the future of agents. It won't eliminate agents. It will improve their productivity. We're well prepared to do that. There's always more work to do because we're in the first or second inning, but it depends where it goes. I would say it's encouraging, what we see on the Lifesize side. Part of Lifesize, we had a product called CXExchange (sic) [ CxEngage ], which is -- which we will say is our new contact center. Better front end, looks better, but with some third-party products in there that we have to eliminate because they hurt margin. That's virtually being done. We've been working on it for over a year. It will be done in this next quarter as well. And so once that's improved, then we could be more aggressive in our selling. There's no sense going to sell something and then telling people that they got to change it just after they bought it. So again, there's a little bit of things that are slowing us down a little bit, but we're doing the right things for the future.
Paul Treiber: And then just lastly for me, just a question on capital allocation. You've done a little bit of buybacks over the last year, but nothing this quarter. What's your thoughts on buybacks -- share buybacks versus deploying capital on M&A at this point?
Stephen Sadler: M&A actually is better. It expands the base, expands the company. Buying back our own shares to me is less risky, okay, if you can get it at the right price. So we have done some buyback. You can't do -- well, unless you set it up, you can't do buybacks when you're in a blackout, which we've been in probably for the last 6 weeks or so. I still like doing buybacks. And if the pricing is such that we believe it will give us a good return, we will do more buybacks. It's not something that we generally have favored in the last 15 or 20 years. But today, it looks like a reasonable use of our cash, and we have a lot of cash. So we will look at it, but it's not to -- some companies do it to aggressively impact the stock price. We do it basically because it makes sense and protects and gives us a good investment on that capital deployment. So we will do some there, yes.
Operator: [Operator Instructions] Your next question comes from the line of [ Bruno Wernick ] with UBS.
Unknown Analyst: If you could just help us understand please, how did FX impact both revenue and EBITDA? And how did that compare to your -- to what you expected?
Stephen Sadler: So it affects a couple of ways. I must tell you, FX even confused me in this quarter. So that's kind of -- maybe somebody says it's not hard to do, but it's usually pretty hard to do. We had quite a large write-off on FX related to the balance sheet, just under $4 million. And that's because right at the end of the quarter, the dollar dropped, the U.S. We held funds in U.S.  dollars.  So you'll see there's an FX hit on the balance sheet of just under $4 million. From an income statement point of view, it actually helped us in revenue. So our revenue, it was a little bit lower than what's shown there because FX was a help, but it also helped the cost be higher. So the profit side, when you net the two, there is an impact. But I wouldn't say it's that significant. It's more of it did help revenue, but it also helped cost. When I say helped, I mean negatively helped costs. So the impact of profitability was a little bit. But it comes to EBITDA. Of course, that's based on the profit over the revenue, where revenue is a little higher and your cost didn't go down and it's higher because of exchange. It lowers the EBITDA percentage, which again we will fix because we didn't move on our cost fast enough as we should have in the quarter.
Operator: And we have no further questions at this time. I would like to turn it back to Mr. Sadler for closing remarks.
Stephen Sadler: Thank you, everyone, for attending the call. In this uncertain and challenging market, Enghouse is well positioned to operate profitably and acquire business assets to provide a good investment return on its capital deployed.
Operator: All right. Thank you, presenters. And ladies and gentlemen, this concludes today's conference call. Thank you all for joining. You may now disconnect.